Operator: Good afternoon, and welcome to the Cibus First Quarter 2024 Results Conference Call. [Operator Instructions] Please also note today's event is being recorded.
 At this time, I'd like to turn the conference over to Wade King, Chief Financial Officer. Please go ahead. 
Wade King: Thank you, and good afternoon. This is Wade King, Chief Financial Officer of Cibus. I would like to thank you for taking time to join us for Cibus' First Quarter 2024 Financial Results and Corporate Update Conference Call and Webcast.
 Presenting with me today is Rory Riggs, our Co-Founder, Chief Executive Officer and Chairman; and Peter Beetham, Co-Founder, President and Chief Operating Officer.
 Before we begin the call, I'd like to remind everyone that statements made on the call and webcast, including those regarding future financial results and future operational goals and industry prospects are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to Cibus' SEC filings for a list of associated risks. This conference call is being webcast. The webcast link along with our press release and corporate presentation are available on the Investor Relations section of cibus.com to assist in your analysis of the business.
 With that, I would now like to turn the call over to Mr. Riggs. Go ahead, Rory. 
Rory Riggs: Thanks, Wade. I'll begin today's call with a high-level update of our business this quarter. Then Peter will walk you through our recent Q1 commercial progress and discuss how we're doing on our expected 2024 milestones. Wade will then come back and finish with a discussion of financials.
 This was an amazing quarter for our commercial accomplishments and for the positive developments in the regulatory environment for gene editing. Much about this quarter is our successful transformation from an R&D-focused company to being the first commercial stage gene editing company.
 By commercial-stage gene editing company, we mean that we are in the business of commercializing validated gene edited traits. Our customers are seed companies. We're not in the seed business. Our business is to sell validated traits to seed companies for annual royalties. In other words, we license traits that we have developed with our gene edging technology to seed companies.
 Our traits provide economic benefits to farmers such as helping manage your control weeds or providing resistance to specific diseases such as white mold or Sclerotinia. Our economic model is based on receiving annual royalties on bags of seeds sold with our traits based on these benefits.
 This is a common practice in the seed business industry. There are many traits that are licensed to seed companies for royalties. However, largely, this practice is the purview of licenses by seed companies to other seed companies. With the advent of gene editing, we believe that gene editing technology companies like Cibus will be the leaders in licensing new traits to seed companies in exchange for royalties.
 We refer to our gene edging technology as the trait machine. The underpinnings of our trait machine is our precision Rapid Trait Development System or RTDS. RTDS is a crop-specific platform technology that comprises a system of gene editing technologies that is covered by over 400 patents issued or applied for.
 When we state that we have a platform crop, it means that we have successfully developed our RTDS technology in the specific crop that enables us to edit a single cell of a customer's elite germplasm, regenerate the edited cell and return the edited seed to the customer. This technology is especially important in complex traits requiring multiple edits such as our pod shatter reduction trait in canola and our Sclerotinia-resistant trait for canola and soybean.
 Cibus has developed commercial RTDS platforms in canola and rice, and we just recently developed RTDS platform for weed, for which we are exploring commercial opportunities.
 Lastly, a key 2024 milestone is to develop an RTDS platform for soybean. Soybean is such an important opportunity for us because it has grown on over 200 million acres in just Brazil and the United States alone. We're excited that our trait machine was recently given an award by Fast Company Magazine for being one of its top 100 innovations in 2024.
 As noted in Fast Company's article on the trait machine, commercialization of this technology presents an analog-to-digital movement in breeding. The trait machine fundamentally changes the speed and cost of developing and commercializing complex traits. It enabled us to do new complex traits development in as little as 3 years as compared to a traditional breeding process or GMO process, which takes over a decade. We can also do this at a fraction of the cost as well.
 The trait machine has also enabled us to speed up the commercialization of our traits because it allows us, on a shortened time line to transfer complex traits directly in the elite germplasm or a seed of our customers for commercialization.
 Peter will review in greater detail our progress this year for our developed platforms in canola and rice and in our development of new platforms for wheat and soybean. But I would like to touch on a couple of highlights for which we are really encouraged.
 First, we're ending this quarter with 10 customers for our pod shatter reduction trait in canola, demonstrating our success in building out our canola platform. Each of these customers has already delivered to us their germplasm, enabling us to apply the Pod Shatter trait gene editing process. Our success in canola is why we consider this the year as the time we became a fully integrated commercial scale gene editing company.
 In Rice, we've also signed up some of the largest companies in the United States and Latin America, including Nutrien and Interoc for our 2 proprietary herbicide-resistant traits, HT1 and HT3.  Herbicide-resistant traits are an agricultural mainstay because they fundamentally change how farmers manage one of the toughest challenges, weeds.
 The positive response to date for our 2 HT traits in rice is emblematic of the demand for these traits, and it is why we are working on advancing our third herbicide trait HT2 in other crops, including canola and soybean. We believe this HT2 trait has the potential to be the first gene edited trait to achieve 100 million acres of yearly use, representing an immense opportunity for us.
 Lastly, I would like to provide a brief update on the recent regulatory advances for gene editing. A highlight for us at Cibus was February 7. This is when the EU parliament voted to endorse the regulation of gene editing similarly to conventional breeding. This EU vote was an important inflection point in the global movement to regulate the new genomic techniques differently from GLO Technologies.
 While the EU still has work to do to negotiate and finalize its regulations, the importance of this parliamentary vote cannot be overstated as the EU is notorious for having the strictest regulations in the world.
 Importantly, for the first time, we see with the EU parliamentary vote a powerful new alignment across the 3 major agricultural growing regions; North America, South America and now the EU and the U.K. This development has been followed by similar ones in many other countries, such as Canada and Uruguay.
 With that, I'll pass the call over to Peter to go to some greater detail on the progression of our pipelines, trait platforms and the potential we have to deliver significant value for our shareholders. Peter? 
Peter Beetham: Thank you, Rory, and good afternoon to everyone. As Rory discussed, this past quarter highlighted a major breakthrough for gene editing regulations. This is the moment we have been working towards for over a decade. And it is the culmination of years of education and discussion with many stakeholders to help the EU gain comfort with the promise of gene editing techniques as a means to realize their sustainability and food security goals. It really is a great moment for the company.
 As previously highlighted, our commercialization efforts are well underway with our 3 developed productivity traits. Pod Shatter Reduction, we call PSR in canola or Winter Oilseed Rape, WOSR and our herbicide tolerance or HT1 and HT3 traits in rice. On our last call, we also focused on our progress transferring our PSR traits in canola to customers for commercialization.
 Today, I would like to focus on two significant achievements in Q1 2024. First, the expansion of customers for our developed traits in Rice HT1 and HT3, and second, the major breakthrough where we reported earlier this year, weak regeneration from single cells and why this is such an important milestone for our gene editing in another major crop.
 So let's start with the progress on our developed traits in Rice. As Rory mentioned, we have now signed 4 agreements with customers in Rice, 2 in the U.S.A. and 2 in Latin America. These include Nutrien here in the U.S.A. and Interoc in Latin America.
 I want to give you a sense of the scale of these agreements. These 4 customers combined represent approximately 40% of all addressable rice acres across the U.S.A. and Latin America. The increasing demand for our HT1 and HT3 traits by customers coincided with our reporting of successful field trials in January 2024.
 Rice presents a major opportunity for us given the industry's challenges in developing conventional herbicide tolerance systems. These systems in rice have struggled to gain really good long-term market traction as we have quickly developed tolerance to herbicides and the solutions have not always been the best herbicides for the important weeds. 
 This void in the market now presents a significant opportunity for Cibus' trait solutions, which have been shown to be very effective as demonstrated in our 2023 field trial results that indicated both HT1 and HT3 met or exceeded performance expectations when evaluated with proposed commercial herbicide application rates.
 Demonstrating the demand for herbicide tolerance traits can be seen easily by the massive penetration of GMO-based HT traits, which today are still more than 95% of major crops such as canola, soybean and corn. What this does is underscore the potential for adoption by rice farmers while also showing the limitations of existing technological approaches to solve some of agriculture's most pressing challenges.
 Let me explain why HT traits are valuable. Rice farmers use selective herbicides and cultural methods such as flooding to control weeds. Unfortunately, selective herbicides are very inefficient and costly in rice. In fact, USA State Extension Services estimate that the cost of herbicides can exceed over $130 per acre in the Mid-South. This process includes as many as 4 applications and in many cases in the USA are applied by aerial sprayers.
 However, the promise of introducing a gene edit to the variety with herbicide tolerance traits is greater weed control, lower input costs, that is less herbicide, and lower application expenses which together offer a significantly cheaper and more efficient solution for the farmer.
 The second focus topic for today is wheat. Wheat is one of the world's most important cultivated crops. It is a staple in many diet and is responsible for 20% of people's caloric intake, making it one of the world's most important food crops. Wheat flour is consumed in breads, pasta, cookies, crackers, confections, among other things. For Cibus, wheat is one of the five major crops we are focused on to develop editing with our scalable high throughput trait machine.
 Since we announced our breakthrough in January, we have been exploring partnerships with leading wheat seed companies around the world. Developing traits for wheat is a potentially huge opportunity given that improved varieties and new hybrids of wheat have not been beneficiaries of GMO traits. The USDA estimates that there are over 500 million acres of wheat grown globally, with an estimated 100 million of those acres residing in the developed markets of North America, Europe and Australia.
 For Cibus, our approach in wheat is similar to that of our other crops, which is to say that we are taking precision shots at trait opportunities that address known problem indiscernible that reduces our pacing. And in the case of wheat, we believe there's immediate opportunity in fungal disease resistance and nitrogen use efficiency.
 In addition to the incredible achievements within our developed traits, we continue to make progress with our 2 advanced traits. Sclerotinia resistance also known as white mold resistance and our herbicide tolerance HT2 trait, and we continue to work on advancing our soybean platform.
 Starting with our first advanced trait, Sclerotinia resistance. Last year, we achieved a milestone in stacking 2 different modes of action against Sclerotinia into canola and successfully demonstrated effectiveness in greenhouse tests. And in 2024, we expect to receive greenhouse results for the third mode of action for Sclerotinia in canola, bringing us one step closer to commercialization of this key traits.
 Our other advanced trait is a herbicide tolerance trait we call HT2. This trait enhances productivity by targeting broadleaf weeds that have grown resistant to herbicides in key crops, including canola and soybean. Essentially, the importance of HT2 is similar to how I described weed control options for rice. We believe this trait has the potential to be the first gene edited trait to achieve 100 million acres of yearly use, representing an immense opportunity for us.
 Following our successful completion of edits in HT2 in canola in 2023, we continue to expect greenhouse results in 2024, which will be important in demonstrating the effectiveness of these traits. As a reminder, both of these advanced traits, Sclerotinia and HT2 are what we call multi-crop traits. This means that they have potential efficacy across multiple crop types including canola, wheat, oilseed rape and soybean. 
 And not only does this present a commercial opportunity to earn royalties across multiple crop types based on the same trait, but it also allows us to apply the learnings and synergies we've unlocked in existing crops to new crops. The efficiency created here is a key competitive advantage when it comes to expanding penetration of new crop types.
 Finally, we continue to be optimistic that by year-end, our soybean platform will be operational allowing for penetration of this large addressable market. Developing our soybean platform remains a key strategic initiative, serving as the foundation for our sustainable ingredients business focused on plant-based alternative oils for customer applications.
 And with that, I'd like to now pass it on to Wade to briefly review our financials. Wade? 
Wade King: Thank you, Peter. Looking at our financials for the first quarter. Cash and cash equivalents were $24.5 million as of March 31, 2024. From a cash flow perspective, for the 3 month period ended March, we used $13.5 million of cash from operations, which implies a monthly burn rate of approximately $4.5 million. Through a combination of optimizing resources and implementing cost-saving measures, we have reduced our operating cash flow burn rate down to approximately $5 million per month. We believe this represents the appropriate level of cash burn needed to fund planned operating expenses and capital expenditure requirements going forward. This should extend our current cash runway into the third quarter of 2024.
 In terms of financing activities, we raised $6.2 million of net proceeds via regular equity sales in the first quarter and a further $9.5 million in the second quarter to date.
 Moving to our income statement, which I'd remind everyone isn't directly comparable to that of the prior year period given the merger with Calyxt that closed in May of 2023. Please keep this in mind it is a reference to the prior year period's results.
 R&D expense was $12 million for the first quarter of 2024 compared to $2.2 million in the year ago period. The increase was primarily related to increased lab supply and facility expenses, an increase in employee head count and an increase in stock-based compensation expense for restricted stock award grants.
 SG&A expense was $7 million for the first quarter of 2024 compared to $2.3 million in the year ago period. The increase was primarily related to an increase in headcount, increased consulting and legal fees and an increase in stock-based compensation expense for restricted stock award plans.
 Royalty liability interest expense, a noncash use was $8.3 million for the first quarter of 2024 compared to no expense last year. This is related to the liability assumed in the May 31, 2023 merger with Cibus Global LLC.
 Net loss was $27 million for the first quarter of 2024 compared to a net loss of $5.4 million in the year ago period. For additional details about our financials for the first quarter of 2024, please refer to our press release and filings with the SEC.
 That concludes our financial discussion. Rory, now back to you for your closing remarks. 
Rory Riggs: Thanks, Wade, and many thanks, everybody, for listening to us. The progress we have made with the scalable commercialization of our company and our products is testament to our vision for leading an agricultural revolution through the advances in gene editing. Our vision is to operate as an extension of the seed companies breeding operation. Together with the seed companies, our goal is to help farmers address their sustainability, productivity and environmental challenge at a fraction of the time of cost previously available through conventional breeding or GMO methods.
 As I hope is evident, Cibus is leading the charge into this new gene editing era. As we look ahead to advancing our activities for the balance of 2024, we anticipate further showcasing our commercial progress with our customers for our developed products while also hitting key milestones for our advanced traits and new crop platforms. Thank you guys all for the same. Operator, that concludes our prepared remarks and could you open it up for Q&A. 
Operator: [Operator Instructions] Our first question comes from Bobby Burleson with Canaccord Genuity. 
Bobby Burleson: Yes. So I guess maybe just to kick off the Q&A. Maybe we can touch on that regulatory progress in Europe, where our latest update is in February, but I know that there's been some continuing efforts there. And I'm just wondering, can you walk us through where the EU is now in terms of next steps to kind of finalizing this new interpretation of gene-edited crops. 
Rory Riggs: I'm not sure if you guys -- I had a perfect answer, and I was on mute, so I apologize. You asked really the -- is something it should be more clear, right, that they passed this thing. They have a bunch of regulations they have to approve.
 The big thing they did is as before the parliament ended, they made a final vote. And this final vote basically said they don't have to come back to the parliament to get further approval that they are allowing the committees themselves in their countries to go through and make the changes. And that's a huge victory for us. And they got it to the higher votes than their first vote.
 And so what we expect to do is the vote to happen and then all of the pieces to come together. And the good news is the pieces that are coming together are all things that work for us. Our technology by all sense is going to get [ clean sale ]. Peter, can walk you through some of the technical details about some people who might be more scared than we are, Peter? 
Peter Beetham: No, I think as I've mentioned before, it is a momentous change for us with regards to regulatory because I think that it's been very clear that the EU has really worked on understanding the core technologies around gene editing. And the fact is that they -- what we end up with products is indistinguishable from what occurs in nature. And so when they see that there is conventional like the terms, the regulatory framework that they presented works very well for getting price into the market in Europe, which is exciting for us. 
Bobby Burleson: Okay. Great. So there's another catalyst coming now with the vote at some point here? 
Rory Riggs: Yes. We expect there'll be a couple on that. And I think the good news is the first step we really care about is allowing growing, right? And then from growing, allowing us to be able to launch the products themselves. When do you expect this, Peter? 
Peter Beetham: Rory, the process is occurring over the next 6 months to finalize. There's a trialogue that includes commission, the council and the parliament. And then once that's through sometime in early '25, we'll have guidance on the implementation of this. So we're looking forward to a number of our customers being able to run field trials as we have already in the U.K. in Europe moving forward to our commercialization process. 
Bobby Burleson: Okay. Great. And then maybe just on the capital infusion that you guys need to do post -- I guess, Q3 2024 sometime soon. I'm curious, like just in terms of things that you've executed on so far this year, maybe it was a soy platform, anything in particular that you would call out as particularly compelling to those types of discussions that prospective investors or maybe even strategic investors are more focused on? Just curious what kind of light a fire under the prospective investors as you go out there and ultimately raise some money. 
Rory Riggs: Two parts to your question. The first part, that's most exciting to me is we're getting really good feedback in the soybean that -- as you know, soybean is 200 million acres. It's really controlled by 4 companies, and we're very -- we're having good discussions with each of them to talk about how we might be able to work together. And I think that, that's such a big opportunity, we think it sort of changes the game in gene editing. Peter you want to add to the soybean -- and I want go to the cash in a second. But go ahead, Peter? 
Peter Beetham: I'll add to the soybean and then you can go back to the cash. But I think the soybean, for us, I mentioned earlier that there's so much progress for us on soybean. It is one of the most challenging things in plant cell biology over the last two decades. But what I'm excited about is I see the progress internally, and I really do see soybean platform heading to that analog to digital moment where we can actually apply the editing and with customers' genetics in soybean. And as we've projected this year, we'll have added some soybeans by the end of this year.
 Again, a really light weight where we had a breakthrough there, we're looking forward to that in later this year. 
Rory Riggs: I'll just add that, I think, hopefully, you've been following us, we've done a pretty good job of hitting our milestones. And the two big milestones just got me really excited is soybean and plus our advanced traits. So we expect to be able to have the edit complete and soybean for Sclerotinia and be the other trials and for HT2 and HT2, both of them could be huge products. And so the milestones that I think to get people excited is completing soybean and completing these advanced traits that together, they really -- just those alone create a pretty substantial company.
 And in terms of advancements, we've been very successful in open market transactions for raising capital to date, and we'll continue to. And then obviously, most people realize we will have a fundraising event hopefully in the near term, but I think that we've been very successful to date in using our open market transactions. 
Operator: Our next question comes from Laurence Alexander with Jefferies. 
Carol Cheung: This is Carol [ Cheung ] on for Laurence Alexander. And congratulations on the progress in gene editing. So just a high-level question. I was wondering if you could share how you think about your total addressable market and how quickly you would expect to scale in the upcoming 2 to 3 years? 
Rory Riggs: That's a great question because that is the goal. One, thank you for coming. We really -- we, as a company, even it surprised ourselves at how far advanced we're getting in gene editing technology and our ability with the trait machine to the accuracy and the time and the cost to be able to put traits in the plants, it's really just a huge breakthrough. You guys have been following us for a while, but since then, it's a big moment.
 And for addressable acres, been pretty conservative in being able to [ teach ] the acres that we think really are acres where our customers can use these traits, and I'll let Peter give more specifics to it. Peter? 
Peter Beetham: So yes, so this the addressable markets are enormous. And I've mentioned this earlier in weeks and Rory over -- globally, over 500 million acres. Rory also mentioned just in the South and North America, soybean at 200 million acres. So these markets that we -- essentially licensing traits into this market is an enormous opportunity.
 The thing that's most exciting from my mind is that the gene editing process, as Rory mentioned, we've made substantial gains and efficiency and being able to do this in various platforms, allow us to address these markets. The broad ability to make complex edits across complex genetics. In other words, customers can provide us a series of genetics that allow us to penetrate those size markets very quickly. And I'll leave it and hand it back to you, Rory. 
Rory Riggs: You might agree with -- First of all, you should know when you started talking, we knew we weren't alone. But Peter, you might address -- what's really interesting, like in soybean, when you think of addressable acres, 95% of them use GMO acres -- GMO crops. So virtually all those crops have to be addressable to some degree. And that's -- those are huge numbers.
 And in rice, we kind of know where the big guys are. So we've said that there's probably 15 million or 17 million acres total of which we think 11 are addressable. And when we go crop by crop we're very specific in our numbers. We don't think that Sclerotinia is going to be in all those crops. We think Sclerotinia is going to be in crops that have the weather, where white mold is bad. And so we probably think plus or minus 1/3 of those acres are accessible. And so we've been pretty conservative in thinking through how -- of the total addressable acres, how many addressable for the specific traits that we're developing? 
Carol Cheung: Yes, that's really helpful. Just a quick follow-up. So how we think about the cadence of the penetration rate to different markets? Like I understand like you say you're more conservative about the acres, but how about the penetration rate? 
Rory Riggs: Can you help me a second, when you say cadence on this, give me some clarity, so I can be specific for you, I apologize. 
Carol Cheung: Right, right. So just wondering like what is the expected time line like in the 2 to 3 years or maybe 5 to 10 years? 
Rory Riggs: All right. Once again, I'll take a shot and I'll let Peter correct me. It's piece by piece. So in rice, we expect, and we've said this that we expect in late '25 to be in a point to that in the Latin American parties that they would have these -- their crops back and be positioned to launch. And what we've said is that those crops would start to be launched in '86 and solely progress in the subsequent years.
 In canola, we've been pretty clear that new seed is moving, and we expect them to have a have the first planting this year and to grow and then the other companies are working through their process. And so it's hard to work through the actual cadence of them.
 And in Europe, we needed to find a European approval. But I think we've said all along that we think that '28 is the year that we see of our 3-legged stool, all these traits starting to come together. 
Operator: Our next question comes from Steve Byrne with Bank of America. 
Steve Byrne: Kind of a broad question about the rice traits and the soybean traits as you look to expand globally outside of the U.S. I have two questions on that. One is, do you have concern about protecting the intellectual property, could that gene-edited germplasm in some other country end up being cultivated by somebody that you didn't contract with?
 And the other question being, do you have concern about getting paid for it in some of those countries, particularly if the crop is saved, the seed is saved, like, for example, soybeans in Brazil, the transgenic traits end up getting -- they get checked by the green handler. And if they're detected, then they can charge for it and then that's shared with the seed companies. Is that some mechanism that was developed because the seed is saved?
 Do you have concern for that if it's not a transgenic trait, it's a gene edited trait? 
Rory Riggs: Those are great questions. And you probably guess, Steve, that I'm going to let Peter answer those. Is that fair? 
Peter Beetham: Thanks, Rory. Steve, it's a great question and an important question. We understand as you go into certain markets that there are risks associated with losing genetics, not just the trait, but genetics that contain the traits. And we are working with partners that understand this very well. And also based on their contracts, we're working very closely with them, both on the payment of the royalties, but we're also working closely with them and understanding the genetics and how to control the genetics, including to the point with rice now, where it's moving in most countries of the world, but including the U.S. and Latin America are for hybrid production.
 So you've got this protection from a business standpoint, you've got protection from a genetic standpoint with hybrids. But then we also have a really strong patent portfolio that we will continue to expand not just in the U.S. but in other regional markets where applicable. And I think that -- so we really take this seriously and so do our customers. And as we go through and launch this material, we'll be very quick to make sure that we do get paid for our trait.
 One last comment because you brought up endpoint royalty. And I think that's a really astute point with what's happened in soybean, it's happened in canola. It's happened in wheat in various countries around the world. And it will continue to be, I think, adopted by a lot of countries. So as you bring value to the market, whether it's traits like we do or quality that the value will come back to the developer and the seed companies. 
Steve Byrne: That's helpful, Peter. And one more for you. HT1 and HT3, are you able to describe what are the target weeds or mechanism of action? And maybe more importantly, can you implement that trait in other crops beyond rice? 
Rory Riggs: It's right, Peter, why don't you take a shot at that? 
Peter Beetham: Okay. So let me start with the second part of the question. So we can definitely for some of these herbicide tolerant traits move it into other crops. We'll use the same edits for other crops. And so that's the beauty of gene editing is really understanding the mechanism for a particular herbicide linked to the genes in the plant. So that answer is yes to the second part of your question.
 The first part, there are two herbicide tolerance solutions that are not available currently in the marketplace. And so that's the exciting part for rice farmers is because, as I mentioned earlier, first of all, it's very expensive to control weeds. And so we're providing these just two solutions for controlling weeds that will reduce the cost to the farmer but create value for the seed companies and ourselves.
 The -- both HT1 and HT3 are also targeting hard-to-control weeds. So some of the weeds that have been in -- particularly in the U.S. market where we've spent most time we've recognized some of hard to control weeds like red rice and being able to control those for farmers is now a really important, great attribute of both HT1 and HT3. 
Rory Riggs: And Steve and Peter, the good thing on soybean is our customers are the same customers who have the GMO-based traits. And so they're already working in those countries on those traits. We don't have anybody really like GDM is our primary customer right now in Latin America who doesn't have familiarity with the process. 
Operator: We have reached the end of the question-and-answer session. I would now like to turn the call back over to Rory Riggs for closing comments. 
Rory Riggs: Thank I'd like to -- and the way I started, we've had an amazing quarter in our progress. And really, the progress is not only with the traits themselves, but we are extensions of the seed companies, and we're so excited that the seed companies themselves are working with us and trying to develop this new era. And I think that's as big a topic. And although the questions are tough in Europe, the fact that Europe actually made a vote that said this was good really has set us, we think, is a point of inflection around the world for improving this. 
 So we're pretty encouraged now that not only do we have the corporation is all working with us -- the seed companies are working with us, but that we're going to have a good approval rate around the world for gene-edited traits, and that's really what we needed to really set off this whole field. So that's why this has been a great quarter.
 Otherwise, just thanks for listening to us, and we look forward to hitting a few more milestones in the next quarter. Thanks. Wade you can drop off. 
Wade King: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.